Gerald Cysewski: Aloha from Kona, Hawaii. Thank you all for joining us today. I am Gerry Cysewski, Chief Executive Officer for Cyanotech and Nutrex. I am pleased to report Cyanotech's first quarter fiscal year 2021 earnings results. 
 Let me start by saying our discussion today may include forward-looking statements. We do not undertake any obligation to update forward-looking statements either as a result of new information, future events or otherwise. Our actual results may differ materially from what is described in these forward-looking statements. Some of the factors that may cause results to differ are listed in our publicly filed documents. For additional information, we encourage you to review our 10-Q and 10-K filings with the Securities and Exchange Commission. 
 So let's begin. Given the challenges brought forth by the worldwide COVID-19 pandemic, both internally to the company and externally to our community, partners, vendors and customers, we are pleased that the company is able to report a stable and profitable financial performance for the quarter. 
 Our manufacturing plant and distribution center have remained operational through this period of uncommon challenges, and our shipping and logistics operations have experienced only intermittent disruptions to date. 
 Key highlights are as follows. Net sales were $7.4 million in the first quarter compared with $8.1 million in the first quarter of 2020. Operating expenses decreased by $0.9 million from the same period last year. We achieved net income of $0.1 million for the first quarter compared to a loss of $0.1 million last year. 
 In May of this year, the company received an SBA Paycheck Protection Program, PPP loan, for $1.4 million. The company used the PPP proceeds for payroll costs, group medical benefits and other permissible expenses compliant with the conditions of the program. 
 As of June 30, 2020, the company had cash of $3.3 million, working capital of $8.5 million as compared to $2.4 million and $8.4 million, respectively, as of March 31, 2020. 
Gerald Cysewski: We did receive one question from our investor and shareholders. 
 The question was: Did the decline in retail sales occur mostly in box stores or online? Also due to the virus, did you have problems meeting retail demand because of slowed production? 
 The answer: The decline in retail sales occurred mostly in box stores, not online. We have no problems in meeting retail demand due to COVID or the slow -- or slowed production. 
 We thank you for joining our call today. Stay safe, and stay healthy. Aloha.